Operator: Good day, and welcome to the Emerson First Quarter 2019 Earnings Conference Call. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Tim Reeves. Please go ahead, sir
Timothy Reeves: Thank you very much. I am joined today by David Farr, Chairman and Chief Executive Officer; and Frank Dellaquila, Senior Executive Vice President and Chief Financial Officer. Welcome to Emerson's First Quarter 2019 Earnings Conference Call. Please follow along in the slide presentation, which is available on our website. I'll start with the first quarter summary on Slide 3. Sales in the first quarter of $4.1 billion increased 9% with underlying sales of 4.5%. End markets remained strong for us globally with the notable exception of our heating and air conditioning business in Asia. Commercial & Residential Solutions was down 1% underlying and was up 7%, excluding the Climate Asia business. Automation Solutions was up 7%. Trailing 3-month underlying orders remained in the 5% to 10% expected range through the quarter with December, up 7%. GAAP EPS was $0.74, up 21%, and stronger than our guidance in November.  First quarter cash flow was down versus prior year, impacted by accounts payable and accruals timing, which is expected to reverse in 2019. We repurchased $800 million of shares in the quarter. And through January, we've completed our $1 billion repurchase target for the full year, acquiring more than 15.7 million shares.  Turning now to Slide 4. First quarter gross margin was up 20 basis points on higher sales, and EBIT margin was up 110 basis points, including 50 basis points of dilution from the Aventics and Tools & Test acquisitions. Leverage on higher sales, lower incentive comp and favorable other deductions drove strong EBIT margin performance. A tax rate of 20.9% benefited from several favorable discrete items in the quarter.  Turning now to Slide 5. The first quarter underlying sales growth was led by the Americas, where growth was strong across both Emerson platforms.
David Farr: And I would like to call out my Latin America team, who I've been pretty tough on the last three years relative to their negative growth, but I said to them, "If you guys delivered 10-plus percent growth this quarter and each quarters after, I'll call you out in the call." But again, I want to thank all the Latin America team for making it happen, and I look forward to seeing this continue at, at least 10-plus percent for the rest of this fiscal year. Thank you.
Timothy Reeves: The Automation Solutions in Latin America was up double digits, and Commercial & Residential Solutions up mid-single digits. Europe growth was stable across both platforms, and Q1 marked the third quarter of steady growth of Automation Solutions and the ninth quarter for Commercial & Residential Solutions' steady growth in Europe. Asia, Middle East and Africa was down 2% due to the Asia Climate business, which was down more than 20% on slower heating and air-conditioning markets.  Turning now to Slide 6. Total segment margin was down 110 basis points and was down 50 basis points, excluding the Aventics and Tools & Test acquisitions. Segment margin declined due to unfavorable price/cost impact at Commercial & Residential Solutions and certain timing items that impacted Automation Solutions. This was in line with our expectations, and we continue to expect the 2019 segment leverage target of 30%, excluding the Aventics and Tools & Test acquisitions. Capital expenditures were up as we made progress on previously announced facility expansions and upgrades in our Climate Technologies, Final Control and Measurement & Analytical instrumentation businesses in the U.S., China and Southeast Asia. Trade working capital improved 10 basis points, driven by receivables and inventory performance. Turning now to Slide 7. Let's talk about Automation Solutions, where underlying sales were up 9% in the quarter -- sorry, underlying -- Automation Solutions sales were up 9% and up 7% on an underlying basis. December trailing 3-month underlying orders were up 12%, and December backlog increased modestly versus September on strong December bookings and a successful enterprise system upgrade across the business that resulted in the planned loss of several shipping days, the impact of which was approximately 1 point of growth in the quarter.  Strong demand for MRO and Brownfield upgrade and expansion projects continued to drive growth. All world areas were positive, and we continue to see favorable trends in our -- in capital formation for investments in LNG midstream infrastructure as well as downstream capacity as sovereign interests trend towards increased energy, chemical and refining self-sufficiency. Segment margin was down 50 basis points and was up 10 basis points, excluding the Aventics acquisition. This improvement was driven by leverage and favorable price/cost, offset mainly by the carryover impact of growth investments that were ramped up in the second half of 2018. These investments were to expand KOB1 project capacity and our global service organization capabilities. The incremental impact of these investments was approximately $20 million in the first quarter and will lessen as we go through the year and comparisons normalize. In addition, the new revenue recognition rules reduced sales and profits in our software business by approximately $6 million which we will recover in the year. This is the adoption of new software -- of revenue recognition accounting rules. For the full year, we continue to expect incremental margins of 30%, excluding the Aventics acquisition. Turning now to Slide 8. Commercial & Residential Solutions' underlying sales were down 1% in the quarter. December trailing 3-month underlying orders were down 2%. The decline in Commercial & Residential Solutions was driven by slower heating and air-conditioning markets in China, a trend that began in mid-2018. Importantly, we see a path to return the growth in the second half of 2019 as comparisons ease and spending recovers in China. Growth in the Americas was driven by strong demand in cold chain and residential air-conditioning markets and solid momentum in professional tools markets. Margin decreased 150 basis points, excluding the Tools & Test acquisition, due mainly to unfavorable price/cost, which was in line with our expectation for the quarter.  We expect that the price/cost trend will reverse and provide a tailwind to margins in the second half of 2019. Over the past year, we've successfully implemented price increases behind strong material cost inflation and tariff headwinds. Going forward, we expect pricing actions to catch up and to outpace material inflation as cost pressures ease. For 2019, we continue to expect full year incremental margin of 30%, excluding the Tools & Test acquisition. Let's turn now to Slide 9. Our 2019 guidance framework is updated to include the impact of recent acquisitions and provides our second quarter expectations. Underlying sales guidance remains unchanged, and the net sales guidance is updated to reflect the impact of the A.E. Valves acquisition, which closed in December; and the GE Intelligent Platforms acquisition, which closed at the end of January.  The EPS guidance range has increased $0.05 for the first quarter tailwinds and includes $0.03 dilution from recent acquisitions, which mostly hits us in the second quarter. We expect the full year tax rate to be 24% to 25%.  In the second quarter, we expect 6.5% underlying sales growth and EPS of $0.84, plus or minus $0.02. The EPS guidance builds in $0.02 of headwinds from recent acquisitions.  So please turn to Slide 10, and I will hand the call over to Mr. David Farr.
David Farr: Tim, thank you very much. I appreciate everyone joining us today, and I also look forward to talking and meeting all of our key investors in New York City on February 14, 2019. If you have not signed up for the meeting, please do right away because we do have limited space where we're having the meeting in the New York Stock Exchange. I also want to thank all of the global employees, especially our new acquisitions members, who are learning to work and play -- and plan month-to-month like we do within Emerson. These are great additions, and I truly appreciate the support and efforts you're putting forth, be at the Pentair Valves & Controls business; be it Aventics; be it the Textron; Greenlee tool and Klauke; now the A.E. Valves in Belgium; and now our newest member, the GE Intelligent Platforms in VA, Virginia, and Germany and worldwide. I will also be visiting -- for you GE people, I'll be visiting Charlottesville in March 1 to see what's going on and get an update first-hand.  So if you look at Slide 10, the first thing you've got to know is Rocket got his first Emerson stock certificate last night. It was his fifth anniversary, and so we've issued a share and he got that. He got pretty excited about that, you can see. And unfortunately, he's not very good with the crayon quite yet, but we're still teaching him how to do that.  You can see from the orders, our order trend line is in line with what we've been talking about starting last year, this 5% to 10% range. Please keep in mind that we will bounce within this range, sometimes at the high end, sometimes the low end. And don't be surprised like last year, we could touch bottom or even slip out for a month or so. It's a way orders go in lumpiness.  You'll also notice that the preliminary January numbers, which we -- we're just getting in. I thank Frank and his team for pushing this to get this information to us, but they're in line with the overall trend line, around the 7% range.  Also, both Commercial & Residential has ticked up and moving up towards the positive line, and Automation Solutions numbers stay at the high elevated layer but still doing extremely well and trending very much like we thought when we talked to you in November. You will remember, I talked to you about a slowdown in China. I talked to you about a slowdown in Asia-Pacific. I talked to you about what we saw happening since June of 2018. And it's been baked into our schedule, and we are starting to -- and we'll talk further about the sort of upturn that we're starting to see in Bob Sharp's business, in particular, around the commercial -- climate technology businesses in China and Asia-Pacific.  We went out in a Chart 11 earlier this month with information to counter misinformation based on the media's drive to drive a recession in North America. As you can see, our global orders in Automation Solutions have been trending quite strongly across broad base, and I'll have more to say about that. But I think you know what we saw in the last 3 months, plus 12% across all areas.  I would like -- happy and tell you today, too, I heard Golden Pass is going to move forward a big Exxon project with Qatar. I understand it's a big part of Exxon's big expenditure in North America of over $50 billion. And clearly, we'll be participating in that program one way or another.  But clearly, the orders are very good for us. They're consistent for us. The January order trend line is moving this way. I had made a comment when I was in -- visiting investors in the month of December and early January that I would communicate a little bit differently in the first 2 months around what we're seeing as I and my team are watching very, very closely what's going on in this marketplace. So far, we are seeing the trend lines we thought. We are not seeing any fundamental slowdown. We will discuss this in great detail at the presentations coming up on February 14. I have -- expand the presentations and the presenters so you can get a little bit different insight, not just listen to Dave Farr speak, which you guys have listened to for 20-plus years now, but give you some different insights. But clearly, our world area orders are holding in very nicely. Let's talk about Slide 12 and a different cycle. The cycle, as we see it right now, is slightly different from the last cycle when the price of oil was running at $70 to $100 per barrel. You can see in the 2010 to 2014 major project awards very, very heavy upstream oil and gas investments, oil investments, in particular; less in LNG; a little bit less in refining; less in chemical. As the price of oil went up, they really overinvested.  In this cycle when we're seeing the price of oil is going to be balancing between $45 and $70 per barrel, we see a different cycle. Our customer base is talking differently. They are being much more cautious, and you could see what we see at this point in time. As we look at the funnel laid out for the next couple of years, we're seeing a little bit less in the upstream oil. We're seeing more midstream. We're seeing a lot more LNG, i.e. Golden Pass, i.e. the investment that was just announced in -- up in Canada and on Mozambique. There's a lot of investments coming on the road in LNG. We're seeing more in refining, which will be out further in this cycle, not this year per se but probably '20, '21, '22. And we're seeing very good investment in chemical and life sciences.  We see a much more balanced play here for us, which is good for us from the standpoint of longer-term order trends and also profitability. It is a different cycle than last cycle. We'll talk more about that. But my investors need to understand, we do pay attention to cycles. We do understand cycles. And this one is a lot different and more favorable to us from, I'd say, a consistency standpoint and especially as we drive our KOB 3 aftermarket business and trying to stay above 50%, which we have seen for the last 12 to 18 months. On Chart 13 is the trend line of Commercial & Residential Solutions orders. You could see that we saw this trend line dropping off in Asia. This is Asia driven a lot by China, and we saw this starting to drop off in the May, June of last year. We talked about it. We communicated it. Maybe people didn't believe it. There is a reason why we had a 4% at the low end of our underlying sales growth rate. We said it would be 4% to 7%.  We're starting to see this trend line move up. You can see the star on the Commercial & Residential Asia's number seeing -- trending upwards. From there, you could also see the total Commercial & Residential getting very close to 0. China is the same way.  The issue for us is we look at the last 4, 5 weeks, the week after week after week improvement, we're starting to see the improvement relative to orders coming out of China. Product is starting to sell through. The channel is being cleansed, and we're also starting to see government centers go in around the products that we sell and serve into the China marketplace. The government understands. They pull back, and they understand they probably went too far and they now are going to start investing in certain segments, which are good for us relative -- especially around heating, cooling and environmental areas.  If you look at our core cold chain, if you look at our other businesses in China, they are still growing quite rapidly. And Bob will talk about that on February 14. But there is no guarantee. But there's one thing about Emerson, as people have to understand, we do track, and this is not something that's surprising to us. We've been seeing this, and we sense it's going to trend line back up. Right now, we've entered right into the Chinese New Year, so we have little less information coming out. But clearly, what I see right now says, "I feel comfortable with the second half that we mapped out when we laid our forecast in November for our shareholders." If you look at Chart 14, this is the Commercial & Residential Solutions, the price/cost expectations. As you know, we -- as we go through the cycle, we got squeezed with higher material costs. Our price/cost structure got out of kilter. It takes us time to get it back in with our large customer base. We are now moving forward. In the first half of this year, we still have not got the price/cost totally in line. It will be there by the second half of the year, as you can see in this chart, where the favorable price is now starting to help make up for the margin that we lost and absorbed and ate the cost structure over the last 4, 5 quarters. The first half of this year, in particular the first quarter, we got hit, not only the down volume, but also the leverage impact of our higher material costs. Pricing is going in. It helps but not enough. From quarter-to-quarter, you're going to start seeing, as you look at first quarter to second quarter margins, you will start seeing the benefit of this improvement. So incremental margins between first quarter and second quarter between Commercial & Residential will be positive, will be moving 30-plus percent. As you move in the second half, they will make up for what they lost in the first quarter.  We feel very comfortable about this right now. We've been working very closely with our customers. This is the cycle we go through. We know how to manage this cycle, and I feel very good about this. The same thing we said about Automation Solutions. When you look at the first quarter, our volume was slightly less than we thought because of what Tim laid out relative to the new system that we put worldwide, relative to the new revenue rec rules, relative to a couple other things.  However, when we come out of a fiscal year like 2018 where we have our highest sales in third and fourth quarter, our costs are going in. So we're -- and putting the costs in because of investments you see going forward in 2019. Then you go into your lowest quarter, we have those investments that we made in the second half of 2018 that we have to absorb in a lower volume. Therefore, our margin gets hurt in the first quarter.  It is normal. It is expected. And then as we move to the second quarter and the third quarter and the fourth quarter, Lal and his team will start delivering higher than 30% incremental margins to make up for the higher cost structure that was built in. Key point: if volumes or businesses start weakening, we obviously clearly have to take action because our volume is based on what we're laying out here, based on the orders, based on everything we're seeing at this point in time to either Bob's business or Lal's business. If the volumes don't recover, then we will start taking actions in the cost line. We do not see that. The market is unfolding exactly as we thought it would in the first couple of months in the quarter, and we feel very good about that.  If you look at Slide 15, again I want to welcome the newest members of Emerson, the GE Intelligent Platforms acquisition. It clearly is going to add about $125 million sales this year. With the accounting impacts and investments we're making, we're going to be hurt about $0.03 EPS. With the price/cost resetting of our performance shares long-term compensation plan with a dramatic drop-off in the first quarter of stock price, we've clearly had a benefit in the first quarter, and it's helped us for the whole year which helped us offset this dilution. So we raised our EPS guidance for the year. And by the way, folks, this is nothing new. Last year in the first quarter, we had a hit of $40 million on PE shares. We have a variable long-term performance-based plan in stock, and it's based in variable targets. If the growth rates go up, our targets go up. If the growth rates go down, our targets go down. So every quarter, we're marking the market. We're a little bit different. I firmly believe you have to have some adjustment to what the markets are doing, both up or down. And therefore, we mark-to-market every quarter. This is an extraordinary quarter. The stock price dropped from $79 to low $50s. And we got hit pretty hard from that point, but the benefit side is we picked up, obviously, the P&L, which is a true P&L, which we allowed flow-through, net of the EPS impact of the acquisitions. Mike and his team are -- Mike Train and also a lot of those guys are working very hard with the new acquisition here. We'll be talking to you. Mike Train will be giving a specific presentation in New York in February 14 of what our initial expectations are with GE joining our Systems & Solutions business. This is a unique technology and a capability that we're really welcoming in, and we're looking forward to building out and installing over the next 3, 4, 5 years. This is not going to be a 1-year move. It's going to be a multiple-year move. So I'm very excited about it.  So again, I want to step back and say the quarter is on line what we expected. It came in a little bit different than we -- when you look at the pieces. You look at the whole year, we still feel very comfortable with our year, both in the sales growth, our profitability standpoint. Clearly, we -- the order pace is there. From the Commercial & Residential space, it's starting to turn up. North America was strong. It's primarily China, Asia and the Middle East that was weak. And Automation Solutions is very strong around the world, which is a good thing to see at this point in time.  So with that, I'll open the mic to take some questions, some Q&A, from our participants. Thank you very much, everybody.
Operator: [Operator Instructions]. The leadoff is Deane Dray with RBC Capital Markets.
Deane Dray: I don't recall a time ever where you've broken in to Tim's script to interrupt in a shout-out.
David Farr: Well, you have to understand that I was pretty upset with my Latin America team. They know that. I call them dead cats. And for 3 straight years, down orders and sales. And so I said, "If you have to bounce this quarter, I'll let you have it," and I gave it to them. So it is unique, Deane. You're right.
Deane Dray: That's about as big a shout-out as I've seen you do, so those guys, hopefully, appreciate that. Just on the first question, hopefully, you can expand on the comments on the oil cycle and why it's different. And you said specifically you'd see less upstream activity, and here we are in a quarter where you are seeing some strong upstream. Do you think that fades? And maybe just clarify the point about seeing less.
David Farr: You know what? I think it's going to be more balanced. I think what happened last cycle, Deane, is the oil and gas -- oil companies, integrated oil companies felt very compelled to really go out and get more reserves when the stock -- the oil price was sitting at $90 to $100, and there was this huge surge of spending that was overwhelming the industry and obviously overwhelmed us. As you know, our orders and sales in oil and gas got up to well over 40% in that cycle. So I think they're being more careful about this. And also, they're investing much more in gas. There's a shift going on relative to the market -- energy use in the marketplace from pure oil to more gas, and I think that what's happening is there's more of a balanced approach here. And to be honest, I think the investors were very intense on our oil company CEOs about, "Hey, guys, be more careful." And I think that we still see this good level of investments, but my look at it right now it's going to be spread out over multiple, multiple years. And I see the initial wave, and we're going to talk a little bit about this in New York. There's a lot more investments coming on the LNG side at this point in time. So it's still going to be a good number if you look at the total, but it's going to be spread out. And the oil companies are going to take smaller bites. I mean, I'll give you an example. In our first quarter, our largest KOB1 order was $9 million. That's it, first quarter. They're still -- we're still looking at smaller bites of apples, lot of KOB 3, KOB 2. The KOB1 are starting to be built out and build-booked, but they're being more cautious, which I like. I really do like that.
Deane Dray: Great. And just as a follow-up, we've got the State of the Union tonight. Maybe just refresh us on the current, as you see it, impact from tariffs, anything on the shutdown. And hopefully, we can contain it to that.
David Farr: Relative to the shutdown, there's been -- there's very little impact to us relative -- maybe some of our customers but not -- there's not really anything significant relative to shutdowns. I don't like shutdowns, but it really wasn't any impact at all from our perspective. On the tariffs side, it's pretty -- it's very well contained. The President has made it very clear the way he lays them out. And so as he telegraphed back in '17 and '18, we got ourselves positioned relative to cost, relative to backups, we have continued to worked that issue. I firmly believe we will not see another significant increase in tariffs. We might see a little bit here and there, but we're getting ready for it in case something does happen. But the cause -- the impact of tariffs right now is well contained in our pricing actions, both on the Automation side and the Commercial & Residential side. And so I feel that we have that pretty well set for this 2019 at this point in time. And hopefully, nothing new will come up out of the woodwork, as you said, Deane.
Operator: Our next question comes from Gautam Khanna with Cowen.
Gautam Khanna: Yes. So just to expand on the project pipeline, obviously the market swooned pretty dramatically, like you mentioned, in the December quarter. It looked like people were very worried about the macros, but I did want to just get a sense for has anything slipped in your project pipeline of note? Is there any trend to discern on, things that might actually be at risk that you are seeing delays on? Or is it steady as she goes?
David Farr: Right now, the project is steady as you go. What we need to watch, and that's why I'm communicating a little bit deeper and broader. I'm not going to give as much detail next time we communicate relative to the list that we did this time, as you know, Gautam. But I'm watching a lot on KOB 3 right now. That will be the sign from us. It's not going to be KOB 2 or KOB1. It's going to be KOB 3 initially. The projects will move forward. We'll do the work. We'll make awards. We'll do the -- all the FEED work, anything like that, and then that will come down the pike. We should start seeing some significant project bookings this quarter, in the third quarter, in the fourth quarter well into 2021. We're going to lay out a couple of charts for you because this very question in the meeting on the 14th which we see based by world area, where the projects, the major projects are going to flow because it's very difficult.  And going back to what Deane said earlier, this is a different cycle, and we want to lay out by industry what we see at this point in time when these projects will be flown. It's going to be much later in 2019 and early 2021. You'll see this by both the systems and controls. And so haven't seen anything push yet, but I'm watching KOB 3. If the CEOs are going to make the decisions, my customer base are going to make the decisions relative to spending. Let's say we're going to spend $10 billion for the whole year. Normally, they would spend maybe $2 billion in the first quarter and then sequentially spend a little bit more. Are they going to tap that $2 billion down a little bit to see -- make sure things are okay? So that's what we're watching right now because our KOB 3, as you know, has been running quite strongly. It's what this -- our pace is right now, and I want to make sure that that's where the first sign is. And we haven't seen it yet and we're going to keep watching it, and we'll keep communicating and we're going to put orders out and talking to investors, so we'll get a feel for it. But that's where you're going to see it first, okay?
Gautam Khanna: That sounds good. And just a quick follow-up on capital allocation. You've already done $1 billion of buyback. What should we earmark for the year?
David Farr: $1 billion. When we laid out our financial plan last year, we laid out x -- for a 3-year plan, $1 billion, $1 billion, $1 billion. We laid out x dollars for acquisitions. And until we see the x dollars for acquisitions, which we'll talk about when we're in New York, we're not going to make any changes. Frank and I talked to the Finance Committee and the board today about this very issue that we're seeing padded $1 billion, assuming there's no dramatic drop-off in the marketplace. Now if there's a dramatic drop-off, I will reopen that subject very quickly with my Finance Committee. But right now, assuming no dramatic drop-off, we're going to hold to $1 billion. We're going to reevaluate our acquisitions that we do here in 2019. And if we see something changing, i.e., up or down, then we'll adjust our capital allocation based on that. But I try not to adjust my capital allocation too rapidly, maybe typically I would look in every 12 or 18 months. So that's where we sit at this point in time, Gautam.
Operator: Next is Scott Davis with Melius Research.
Scott Davis: It's been almost two years, Dave, since you did the Pentair valve deal, I think you did, around April of 2017, if memory serves me right. But...
David Farr: You're right on the mark, exactly right.
Scott Davis: Okay. And I think business conditions were still pretty tough for a couple of quarters after you closed that. But do you think -- are you back kind of on-the-deal model or ahead-of-the-deal model or behind? I mean, where -- what's kind of the state of the union on that...
David Farr: I think we -- I'm going to ask Ram to update you guys. Ram is going to be present -- he's going to present and part of his presentation will -- just briefly beyond that because it's an important thing we made. It's a big acquisition for us. From my perspective, we are ahead of the plan relative to sales, profit and cash. Ram and his team have done a phenomenal job. The market, clearly, has turned our way. We are in a period right now which Ram will talk about is that we're making significant capital investments in that company relative to globalizing its manufacturing base, so manufacturing in the U.S., manufacturing -- better manufacturing in China, better manufacturing in India, better manufacturing in Eastern Europe, better manufacturing in Middle East. And the issue is we're trying -- as you know, we have a much more global manufacturing strategy than V&C did, and they are more worried about tax planning. So we're ahead of that. And if the orders keep holding up, which they are right now, I think I feel very good about this acquisition and the impact we're seeing relative to our Final Control business.
Scott Davis: Okay. That's good news. And then just a follow-up. I don't know -- I'm looking at Chart 13 where you've got the Commercial & Resi Asia orders. I don't remember seeing...
David Farr: You were looking at Chart 10 with Rocket, what's wrong with you? You have no sense of humor, Scott. That's your problem.
Scott Davis: No. That's one of my many problems, Dave. Yes. If you go back -- I mean, you know this business a lot better than we do. I mean, if you go back long history, these huge order swings, late -- or early 2018, way up, now way down, I mean, are they almost -- and is it more of just massive inventory swings in the channel that the customers just aren't that -- aren't as evolved as the Western guys and make a lot of motional inventory decisions? Or is there really that much of a sell-through delta when you look at...
David Farr: No. I mean, what happens is -- you're exactly right. We have these swings. We've always had these swings in this side of the business, but Automation Solutions cycle in China is typically more up for a long time and drifts back down. This business, as you well know, went basically seven quarters of 20-plus percent growth. Now what happens is the government has -- incentivizes changes relative to efficiencies, changes relative to environmental issues, and the government makes major investments in incentives into the country for the consumer and industrial workforce -- or the industrial customers. And then all of a sudden, the government makes the decision out of the blue to stop. And so what happens is the channels stopped because they see it coming, see it coming. And then also then what happens is we -- that backlogs and it gets purged. The difference between the U.S. and China is our U.S. government does not put the incentives out there that cause this. Yes, our channels buy more disciplined. But right now, the channel is being worked off. Plans have been pushed back, and what we're doing is we're optimizing our facilities right now for the next wave. In the next wave, we'll start coming as we move out of this fiscal year going into the second half of the year. So it's a pretty normal situation. I can't always tell which quarter it's going to happen, but we know it always does. And -- but this was pretty clear. We could see -- starting to see in May, in June. We're starting to hear the government is backing off. The discussions between our 2 governments have obviously created a little bit more of a tension there, too. So I think that's where we are at this point in time. But the channel is a starting to shrink its inventory, and the orders are starting to come as they start building out. So I think the cycle started. I can't guarantee anybody that. But as you said, we've been in the business a long time. We're marking our 40th year in China and -- this year. So I feel good that the cycle is just starting to pick back up. I don't see it going to 25-plus percent, though. I think until the government really motivates it, I don't see it going that high again.
Operator: The next question will be from John Walsh with Crédit Suisse.
John Walsh: Yes. So I guess a question here around free cash flow and just the timing of when you get back the accounts payables and the accruals and just to kind of set expectations on the conversion ratios going forward here.
David Farr: From our perspective, I think it's going to be more in the second half. We'll start getting a little bit better improvement in the second quarter. Typically, we have a slow start. We have to work our way through it. Frank and I, we've analyzed the heck out of this thing. We have -- Frank and I have our neck out with the board and with our investors that are $3.2 billion, and the fact that we want to get to $2.5 billion free cash flow this year is a very important number for us. We will talk about it.  So I feel very good that we'll get back, but I think it's going to be more in this -- the third quarter, fourth quarter, we start seeing it. It's going to be one of these years that I think we're going to be more rear-end loaded than we were -- historically were. Sometimes, we're more front-end loaded. But that's where we are. But one thing different this year, because capital took a while -- just like spending last year took a while to get ramped up in the third -- into the third and fourth quarter, capital is the same way. So capital just got ramped up in the second half, and we had a -- we have a strong investment profile in the first half. So our capital is going to be more front-end loaded this year than it was last year. So I think it's going to be more third quarter, to be honest, before we start seeing the catch-up. That's where I am right now.
John Walsh: Okay, great. And then, I guess, just maybe another question around capital allocation. Can you give us some flavor around how the deal funnel looks just in terms of size of the acquisitions that you'd be looking at?
David Farr: In 2019, we have -- we're looking at around $500 million of acquisitions. And right now, our funnel would say that's about what we're going to be doing. We don't see -- we are working, courting and developing acquisitions for the $1 billion level and $2 billion level, $3 billion level in 2020, '21 and combined together. Those are definitely not maturing as fast as we wanted. But then again, we just went through a lot of acquisitions the last 2.5 years, and we're trying to digest that. So right now, it looks like $500 million this year, maybe $400 million; next year, maybe $1 billion, $1.2 billion; and the year after that, around the $2 billion range, based on what we're seeing activity that we're engaging. And I just think that the funnel has slowed down at this point in time, and not unusual, and I expect that to start increasing as we get back into the late 2019, early 2020. Going back to my previous comments that Frank and I talked to the finance community this morning is, as we look out and we're sitting in 2020 and we see the funnel still not forming enough for this $1 billion or $2 billion that we're talking about, then we're going to have to revisit that capital allocation. But we'll do that at the appropriate time.
Operator: The next question comes from Nicole DeBlase with Deutsche Bank.
Nicole DeBlase: On the 2Q outlook, when we look at the acceleration, the 6.5% versus what you saw in the first quarter, I guess, just the level of confidence around that and the expectation for each segment.
David Farr: I feel pretty good about the 6% to 6.5%. This is a -- the big issue is going to boil down to, historically, we look at from sequentially somewhere around $250 million to $300 million sequential. We're looking from first quarter to second quarter. We are looking at a $500 million sequential primarily because of the improvement we're seeing in commercial residential and, primarily, Climate Technology. So therefore, that's going to be something that we're staying very close to and we must stay communicating to our shareholders on because the cycle is a little bit different from Bob Sharp's business. And that -- I feel comfortable right now based on what I'm seeing. And the key issue for me is this Bob's sequential orders coming from China and Asia-Pacific continue to hold up as they are starting to build. And if they do, then I feel good that we'll make that in the second quarter. From the backlog and the order pace that we see right now in Automation Solutions, I feel very, very comfortable with that one. The wildcard for me is when you want to -- you can ask Bob in New York, when he's there, the one you're going to keep asking us, as you talk to Tim. Is -- are we seeing the China, Asia-Pacific orders come that firm up for us that gives us a little bit higher delta from the first to second quarter? That's the key issue for us right now.
Nicole DeBlase: And as a follow-up, so you talked about how the cycle is different within AS. I guess, what does that mean for margin mix? So does -- like if we look over the next several years, does it mean that the typical margin headwind that you guys see from large projects coming into the mix isn't as bad as you've seen in cycles before?
David Farr: I think it -- what it means is the large cycle -- the projects will start hairing our margins, but they'll take a while to hit it. They might take a little longer, or they might be spread out. It's -- based on what I'm seeing right now, it means that, as you get into the 2020, 2021 time period, if the projects fall out, while I think the impact to the negative margin will be less and less, won't be as dramatic as we saw historically. The key issue for us right now is the mix and where things happen, which industries. As the KOB 3 stays up, which is our drive, we want to get that to stay above 50%. That helps us. We're making investments to do that. So what it tells me is that our margin progression, excluding the acquisitions, should be a little bit easier this time than it was back in the last cycle. That's what I see right now.
Operator: The next question comes from Steve Tusa with JPMorgan.
Charles Tusa: Just a question on the price/cost stuff. I know last quarter you talked about $125 million or something like that of, I think you mentioned of like, of headwinds from tariffs and stuff. But this chart suggests that it's not quite as bad as that. Maybe I'm comparing apples and oranges. And then, am I right, as far as the price is concerned and how that phases in given you guys are like a little bit more into the component kind of supply chain that you have to generally kind of wait for the right time to go to the OEMs with your kind of annual price increases as opposed to the OEMs that can kind of dictate whenever they want to their distribution channel?
David Farr: There are a couple of things here. One, we've already worked with the OEMs so the price is built in for the year along this line here. This is -- the $125 million number for the total company is still a good number, Steve. That has not changed. This is one piece of it which is, what, Section 301. And so I think what we've laid out across the board is pretty consistent, and we have the $125 million match. I think that if you -- all said and done, as we get in the -- as the year unfolds, our price/cost numbers will be slightly, I mean, neutral to slightly green, not much different. But everything is pretty well laid out. It's been discussed. The channel, which we obviously had with AS, the Automation and Solutions business, we've got that laid out. And in commercial residential, they did the heavy lifting late last year with their OEMs and got that built in. And as you -- you're right, we have to plan out with our OEMs over multiple quarters, but we've been doing this for a long time. The same thing will happen if the price -- the cost goes the other way, we'll have to plan that back out too. So I think we're in pretty good shape. I feel good about that right now, Steve.
Charles Tusa: Okay, that makes sense. And then just to -- when you say -- so this basically all means when you look at kind of the comps on like acquisition-related charges, I mean, your fourth quarter comp on margins when you think about price/cost and the deals that you've kind of done here, I mean, that should really kind of unmask a really positive trend line into kind of 2020, correct?
David Farr: That's in the game plan. That's exactly right. Our fourth quarter, based on what we're laying out right now, assuming we -- our order patterns happen the way we want them to happen, we should go into 2020 in a good pace, exactly right.
Operator: The next question is from Josh Pokrzywinski with Morgan Stanley.
Joshua Pokrzywinski: On the project funnel you defined a couple of quarters ago, yes, I think we stood at $6.8 billion the last time you showed us the number. And maybe this will wait until the analyst meeting, but a lot of what you're talking about with KOB 3 sounds like it wouldn't really fill the funnel in with a large number of dots, maybe more dollars. But any way you could size where that stands today? Or has there been any of pause in that funnel?
David Farr: Yes, I can, and we are going to give you a lot of details. We're -- I've been trying to figure out ways to communicate this, the phasing of the funnels. And not -- as you well know, none of our customers -- or competitors do this. But I think it's important for you to understand this, how we look at it. So the number's over $7 billion right now. Tim, what is the number?
Timothy Reeves: $7.6 billion.
David Farr: $7.6 billion. And we're -- what we're going to show you is how this unfolds the next 2, 3 years and how it goes by first half, second half. We're trying to phase that by industry and by world area. It's something -- I'm trying to help you all and help myself so I can communicate to you on a consistent basis. As you well know, it's an assumption based on what we're seeing, but we've been in this business a long time. So I think we'll come up with better ways, and we're going to try to lay that out for you in next -- in February 14. So be prepared for a lot of bubbles, and be prepared for a lot of charts and numbers like that by industry. And you may want to bring someone to write down faster with you because I guarantee I won't be giving this chart out. And right now, I think there's only one page that's going to be with any information on it. It's going to be a page with Rocket's picture, and the rest is going to be blank. I mean, so -- and I think that's what -- this is a Dave Farr approach, you know that.
Joshua Pokrzywinski: Of course. And then just shifting over to some of the M&A you've done lately, obviously, trying to build out a discreet platform. You made that pretty clear last year with the progress looked like. But I just want to be clear, as we lap these acquisitions, that I would imagine, we engaging with some of these customers that maybe you guys did business with when you still owned the drives, the drives brand businesses, it requires a bit of an investment to kind of rebuild in that channel, reinvest in the product. Should we expect that to still be in investment mode as we head into next year as -- and even as we kind of lap some of the accounting components of the M&A?
David Farr: Yes, we're going to have Mike put out some preliminary discussion along this line here. We see the GE acquisition -- GE makes some good technology investment in this acquisition. It's -- from a technology standpoint, it's pretty good. We've got to make some critical investments relative to not only a standalone PLC type of control or Intelligent Control. We also are going to have to figure out how to embed that with -- relative to our Ovation's platform in the power and water and our DeltaV where -- and within the process side. And then what we need to do is be able to work on the channel work. So we're going to be in a good investment mode here for the next couple of years. It's going to a huge number, overwhelm it, but this acquisition more is from a standpoint of a technology product and channel, and we're going to have to create a hybrid approach to this channel not to absorb it all within our process channel or with our power channel. We've got to -- as you said, we've got to keep that discrete channel out there and rebuild that channel. So Mike is going to be talking about what we're seeing from an investment mode in their initial changes, but this is something that will unfold with you all over the next couple years because of this is all about investment and rebuilding a presence for us to grow out of going forth for the next 3, 4, 5 years, well beyond the Dave Farr era.
Operator: Our next question comes from Nigel Coe with Wolfe Research.
Nigel Coe: You mentioned LNG a number of times, and you've talked about LNG being a bigger mix going forward than it's been in the past. Would you agree that LNG is probably your biggest growth opportunity in automation? And would you also agree that you haven't seen much of that growth yet so, therefore, it's all on the come?
David Farr: Yes, I think it is, incrementally, for the next couple of years, it is our biggest growth opportunity, and we're going to talk about that on the 14th. And yes, the projects are just starting to unfold. There's 3 been announced already, the one in Canada, one in Mozambique. We've got the project down South here in Golden Pass, which was -- it's basically -- we've said -- formally said, it's going to be funded by Qatar and ExxonMobil today. We know of at least 3 more coming down the pike. Saudi Aramco want to make huge investments in gas. And so we see a good wave relative to gas. And what we like about gas, you'll see the makeup in gas, it's a very broad portfolio of our products. So when a project goes in, it's a huge project. We could get several hundred million dollars of systems, interpretation, control software in an ongoing basis for a long, long time. And so it is something that's really good for us relative to the long haul. It's something we've built out over the years from an acquisition standpoint. So I like what we see, and I think we're going to have a good run at it here.
Nigel Coe: And then addressing Nicole's question in different way, if we're going to have less upstream, less E&P-type projects going forward, more LNG, more refining, more chem, what does that do to the nature of the project in terms of dollar size, in terms of Emerson content? Any appreciable margin in things we should think about there?
David Farr: We're still doing some work on the margin. It would -- my opinion, the project size, we're going to be smaller, overall, when you look them all different, Nigel, and that's something we're going to -- we're trying to size. We're still working that issue. Tim and I have been pushing our people to try to come up with that because that's a very relevant question on the cycle. So the project -- so therefore, I like the project size being small because it doesn't -- it means it's less volatile from the big chunks that you get in the business and the orders that we saw last cycle. If it's going to be heavy LNG, it's going to be heavier chemical, a little bit of refining, that's a better long-term margin profile for me. And I'm just -- we're just working our way through that right now. But it should be a better margin profile based on the big, big heavy oil type of projects. But that's something we're working on. And I want to have something to show you guys and gals in February 14 in that very, very question because it's a very relevant question.
Operator: The next question is from John Inch of Gordon Haskett.
John Inch: Yes, so AMS, are you still signed up for the 19% margins with the deals you've done, I think, though, as you've been talking about, it's 2021. Does that still feel about right?
David Farr: We're going to push hard to get to it. Right now, if I get -- be very truthful to you, we're probably a tad less than 19% by 2021 with some of the deals. You know that GE doesn't help me because the GE margin is not plus. So -- but our target is still to get to 20% -- get that 19%, and that's what we're trying to drive this whole mix basis that we're just talking on from the last question coming out of Nigel. But that's still our goal. I still feel good that we get real close to it. And so that's where we are at this time.
John Inch: And then to get to the C&RS guide, it looks like margins in the back half maybe have to exceed the back-half 2018 margins. Is that -- does that seem reasonable based on the flip you're going to see with respect to price/cost?
David Farr: Yes, these guys are quickly looking at it. Frank says yes. Tim says yes.
Timothy Reeves: Yes, we're going to have to ramp in the second half, yes...
David Farr: And the answer is yes...
John Inch: All right, so that's reasonable. And then maybe this maybe a question for Frank...
David Farr: And they got to do it. For the old people out there, you guys got to deliver that margin in the second half, in the Emerson team. That's -- I just want to remind the guys who listen to this call: deliver.
John Inch: They heard it. One more question for Frank. Trying to put the $63 million of corporate swing into a context. Is this an accrual adjustment for the entire year that flows through the first quarter -- or fiscal quarter? And then what actually happens, for instance, if the stock were to shift or swing up or down, I don't know, $10 to $15? Like if it went up, for instance, do you have to all of a sudden record a big double sort of expense in the corporate line? Or how does that work?
Frank Dellaquila: Yes, because we have a plan where the target is very -- well, we have to mark-to-market every quarter. As Dave said, we've had big marks in the past, but this one is unusually big because of the stock price move in the first quarter. So essentially, all of that was due to the incentive comp about $60 million -- $60-odd million of it was due to incentive comp. And we've already given some of it back here. And we will give some of it back in the second quarter if we stay near these levels. And as the price goes up, we will then again have to run some of that through the P&L. So it really depends on what you assume about the stock price, but in any reasonable assumption, we'll give some of it back, but there will be probably a significant part of this that flows through the year -- that will flow through the year.
David Farr: Yes, John, what we do is we look at a model based on the trend lines, and we typically have the stock going up in each quarter. And so what happens, what we build into the quarter, we thought the stock would -- I mean, we didn't think the stock was going to stay at $79, but we didn't think it was going to go to $50 -- $56. So we probably had somewhere around $75 built in there. And so as the stock dropped off, we got the big pickup. Right now, we -- if you look at the plan, we have that stock going up for the rest of this year. But right now, we've already given part it gained back. But we feel comfortable -- what we picked -- some of that, we picked up and we floated through for the year. So that's how it works. We're unique in this regard that we've always had a variable plan, and we like keeping it that way. I want to have our people -- if growth rates go up, I want our growth -- relative growth rates to go up with that and have tougher targets.
John Inch: So would you expect the corporate expense to be kind of the 1 -- to go back to this $140 million, $150 million zone for the coming 3 quarters?
David Farr: That's a good question. Is that where...
Frank Dellaquila: Yes, I would.
David Farr: Yes, John.
Frank Dellaquila: I would. That's probably a good estimate in terms of where we think we're going to be in total for corporate.
Operator: The next question comes from Robert McCarthy with Stephens.
Robert McCarthy: In any event, I wanted to ask, I guess, maybe since you're not shy and you're on the sidelines...
David Farr: Who? Me?
Robert McCarthy: Yes, I don't think you're shy. What do you think what's going on with the carrier and the spend here? And do you think it changes the environment overall with respect to the OEMs, and do you expect consolidation in this space from your vantage point? What do you expect to happen over the next couple of years?
David Farr: My vantage point right now says the consolidation does not happen, and we'll have an independent carrier out there and that we'll be managing the similar type of customer base for the next several years. Does something happened 4, 5, 6 years out? It's possible. But my feel right now is UTC is headed towards the spend very hard. They worked this -- Mark and his team have worked this very, very hard. And I know -- by the way, I know how hard it is. I took out 40% of Emerson that way. It's a lot of work. And so that's what I feel right now, Rob. I don't see a consolidation in this move.
Robert McCarthy: And yes, just to follow-up, in terms of China overall, away from commercial and resi, which is pretty clear that there's this channel adjustment that's going on, how would you say what you're seeing there? And I think in my conversations with you prior, you kind of contrasted some of your more industrial-facing or Automation-Solutions-facing business versus the more bleeding edge of consumer and residential where you would expect it a little more stable. I mean, what's your outlook there, excluding this kind of channel correction we've seen? And can you kind of talk to the growth you're seeing in China excluding that?
David Farr: You take out this channel, we're growing solid 15%, 20% with this piece. I mean, Bob will show you the breakdown. I know we put the chart up at the board today because our board asked the same questions. We dissect the, what I call -- we call, the heating and cooling business within China, which is down 30%, 40%. The other two segments were up. I think, Frank, didn't you show a 20%, 30%?
Frank Dellaquila: Yes, they were up big.
David Farr: And for the quarter. So we have clearly built out a strong, more balanced business in China than, say, 5 or 6 years ago. But we're still not there yet because this 8 -- heating and ventilating and cooling business was up 30%, 40%, and it's a big business, now dropped off. But over time, what we're trying to do is we're trying to build up a more balanced portfolio of businesses in China and across Asia that gives us that -- a little bit more smoothing than we would see right now. It's smoother today than 10 years ago, but it's not smooth enough to stop from hurting us from a quarter standpoint. So -- but we're getting make progress. And Bob is going to talk about that because this is our investment direction that we're making to try to have the other parts of business be a bigger and bigger chunk of the Asia business and give us a little more smoothing impact.
Operator: The next question comes from Andrew Kaplowitz with Citi.
Andrew Kaplowitz: So in Europe, Europe was up 3% in both of your businesses in Q1, which seems like actually a good result after 2% growth last year, especially given some slowing in the major European economies. You mentioned last quarter that you see some unique opportunities in Europe in FY '19. So do these opportunities end up leading you to outperform in Europe? And do you still think Emerson grows in Europe in the 2% to 3% range for '19?
David Farr: Our fundamental goal is to be closer to 5%. And there's a couple things going in Europe, from a technology shift relative to commercial and residential and then also some incremental investment. And so like, I'd say the new generational power area is different than the past as we've participated in. So our goal this year actually is to see the number closer to 4% to 5% for Europe. And that's what we're trying to get to from the standpoint of overall sales. And I think the order pattern's there at this point in time, and we feel good about it. Now clearly, we got to see this -- we got to see a little bit better number than 3% in the second quarter. It should be more like 4%. But right now, my team is holding pretty tight to that 4%, 5% for Europe for us. Even a weaker GFI number in Europe, we just happen to be in a couple of segments which are investing, and some of our customers in Europe which are exporting products to, say, Middle East and Africa, see some upside from that perspective. So right now, my Europe business looks decent.
Andrew Kaplowitz: Okay, yes. That would be quite good. And then you do seem confident that Asia orders have bottomed in Commercial & Residential Solutions. What do you need to see in orders here over the next few months to support that 3% to 5% sales growth that you have for the year, what kind of uptakes you would look at? Because, obviously, the deceleration has stopped, but the orders are still negative.
David Farr: Yes, we've got to see on a map -- we've got to see this thing go positive in the second quarter from an order standpoint. I think we're forecasting underlying growth for commercial, res still close to flat, Frank, in the second?
Frank Dellaquila: Yes.
David Farr: So what we need to see is our order pattern turn up in the second fiscal quarter, which is the first calendar quarter, and moving above that line, which is pretty close to it. And so from my perspective -- and so right now, these guys are telling me, these guys, yes, we're going to be low -- plus low single digit. I was wrong. I thought -- low single digit driven by U.S. and driven by Europe. But I think it -- what I'm watching for is Asia. And does Asia get back up to that 0 line and above line? And if it does, then I'd feel very good that our commercial and residential for the year can do this 3%, 4%, 5% type of growth, and that's what I'm seeing right now, short term. I'm watching -- on the Automation Solutions side, I'm watching KOB 3 in a couple of industries. On the commercial and residential side right now, I'm watching China and Southeast Asia relative to their HVAC capital orders. So that's what I'm watching.
Operator: And that question comes from Rich Kwas with Wells Fargo Securities.
Richard Kwas: So two for me on investment. If AS order growth continues at this pace, double digits, any incremental investment here later in the year that you have to make relative to what you have budgeted? Or is that more of a '20 phenomenon in terms of incremental investment?
David Farr: If Automation Solutions orders stay above 10%, then we're going to be -- they're going to be pushing us pretty hard as we leave the year on 2 things: a global execution sales and engineering group -- service or organization group that we're going to have to start putting in very rapidly in the fourth quarter going to the first quarter, which will raise the cost from the fourth and raise the cost on the first and slow down the smaller quarter. That will be the pressure point there. And secondly, what will happen is Lal will be coming to Frank and I and say, guys, we've got to pull back in some capital and for capacity in a couple of places. And I know Lal and his team look at that. And Frank and Steve Pelch, Frank from the CFO and Steve for the COO, have this constant dialogue going relative to that. But Rich, to your point, if we see orders staying 10%, 12% for another couple of quarters, then we're going to have to do some incremental investment at AS to be able to serve that. And right now, we're not banking on that based on our forecast, but that would be good news to deal with. But that -- clearly, that will create some tension for Frank and I relative to our free cash flow and allocation standpoint. So that's what we see.
Richard Kwas: And then just a bigger-picture question on U.S. resi. I mean, I know you don't have a lot of direct exposure to new construction, new U.S. resi construction. But obviously, the HVAC business is somewhat tied to that. What do see right now? There's some consternation out there with regards to where we are in the cycle. From your vantage point, it doesn't seem like you're concerned about U.S. resi, but are you watching for as you go through the next few quarters?
David Farr: From our perspective right now, the upgrade marketplace has still been very strong. If we start seeing that the upgrade, the repair market, the incremental expansion of homes, if that slows down, then -- which hasn't yet, not the new homes but the upgrades, then that would bother us down the road. The channel is in very good shape right now. Our customer base is in very good shape right now. So I feel decent relative to the cycle. And as we get into -- every month -- our customers are very short-term oriented relative to the U.S. We're talking U.S. here. And so we see their order pattern month -- or week after week after week, and it continues to fill in. And Bob keeps Frank and Steve informed on this because that's important relative to us. But I'm not worried. As long as the -- if the consumers' incomes are still going up, employment still high, they're going to spend money on the current homes, which is what we see right now in the United States, which is a good thing. Are you going to be there on the 14th, which, I guess, is next week? I stand corrected. I was...
Richard Kwas: I will be there.
Operator: The next question then will come from Jeffrey Sprague with Vertical Research Partners.
Jeffrey Sprague: There was a little beating around the bush or maybe not even beating around the bush to kind of trying to get to this project mix over time and how it kind of plays on your margins. One of the things you said that I thought was interesting is that you're working to keep the KOB 3 above 50% throughout the horizon. And I'm just wondering, in the past when you've got into big spikes of project activity, how far down in the mix does KOB 3 really play? And should we expect a significant margin differential because of that?
David Farr: Okay. Historically, it would drop down a 45%, 46%. And we -- with the investments we're making both in the distribution organization and the sales service organization around the world, which are significant, we started it last year. Ram is doing even more this year and the next year. We have a unique situation right now where several of our competitors both on Final Control and some of our systems competitors are pulling back in certain marketplaces, and we have a unique opportunity to gain some aftermarket share. So what we've -- we're incentivizing the organization from the standpoint of making these investments and going after that installed base is to try to keep that KOB at 50%, keep a five in front of it. Will it be 50%, 51%? I'll take a 50%. And what that will do is that will smooth our margins somewhat as the bigger projects come into play. It also means we're gaining market share aftermarket. And one of the areas that we -- several acquisitions we made really did not have the aftermarket infrastructure or the aftermarket focus that we have, and so they did not -- they lost some of that business, and they didn't maintain that business. So what we're working at, Jeff, and we really we've been hard at this with Ram and his team and also Jim Nyquist, is really focusing how do we regain more and more of that aftermarket. Some of our competitors are a little bit weaker right now, and we're trying to take that -- we're trying to take it to them right now when the window's open. I think the window is going to open for another 18 months, and I've told Ram we've got to get it done. And so talk to him about this when you see him in New York. And he's going to talk about it in his presentation because this is -- this strategically long term is good for us from a profitability standpoint and smoothing out the cycle curves a little bit too.
Jeffrey Sprague: Yes, that's really interesting. That's an interesting nuance. And then just one little follow-up on this investment spending question that a couple people asked. I get it if the sales are running a lot hotter, you're going to have to spend more to kind of accommodate those sales. But just looking at this year and kind of the headwind you had to kind of get through in Q1, are you at kind of run rate investments now? Is it kind of in the base, so to speak, and not a significant headwind?
David Farr: Yes, we're -- as we would in the second quarter, we're running -- we're in the run rate. I think the question was, was our run rate sort of structured from an 8% to 10% type of order base here. And I think the question is that if that order pace stays at 10%, 12%, 13% the rest of the year, the consumer will be -- as we move into 2020, will have the infrastructure to deal with that? And the answer is we will have to make some incremental investments. But right now from where we see at this run rate, we're in good shape for this year. They've got to execute in the second quarter. Lal knows that. The second quarter is very important from a profitability standpoint, and that will set up a much stronger second half for us. And I want to thank everybody for joining us. And I appreciate everyone letting me have a little fun with the baseball. I don't know why it went to baseball other than Stan Musial bat right here and the Rally Monkey staring Tim down. He's got -- he's always staring Tim down. But I appreciate everyone joining us today, asking the questions and the engagement, which is -- I find enjoyable. And I look forward to seeing everybody next week in New York, and we're going to have a little bit expanded presentation from several players to give you a little bit more insight relative to our businesses, both businesses which are very strategic to us.  Thank you very much, and thanks. Bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.